Operator: Ladies and gentlemen, good morning and welcome to Kelly Services’ Fourth Quarter Earnings Conference Call. All parties will be on listen-only until the question-and-answer portion of the presentation. Today’s call is being recorded at the request of Kelly Services. If anyone has any objections, you may disconnect at this time. I would now like to turn the meeting over to your host, Mr. Carl Camden, President and CEO. Sir, you may begin.
Carl Camden: Thank you, John and good morning everyone. Welcome to Kelly Services’ 2014 fourth quarter and year end conference call. With me on today’s call is Patricia Little, our CFO and also with us is George Corona, our Chief Operating Officer. Let me remind you that any comments made during this call, including the Q&A, may include forward-looking statements about our expectations for future performance. Actual results could differ materially from those suggested by our comments and we have no obligation to update the statements made on this call. Please refer to our SEC filings for a description of the risk factors that could influence the company’s actual future performance. Before we review our fourth quarter results, it’s worth noting that 2014 was a year of important change at Kelly as we focused on growth and implemented aggressive investments, particularly in our professional and technical specialties and our OCG practices. During the second half of the year, we launched a new PT recruiting model on our local U.S. operations and added business development resources focused on PT sales growth. We finished transitioning our targeted large accounts into a centralized service model and we made significant progress in building out elements of OCG’s talent supply chain. With these investments in place, we then implemented the management simplification plan we discussed on our last earnings call taking $35 million out of our 2015 expense base. In short, it was a year of significant change. And as we look at our fourth quarter and full year results, I am pleased to say the strategy is on track and our investments are gaining traction. Turning to the results, revenue was $1.4 billion for the quarter, up almost 6% in constant currency year-over-year. For the full year, Kelly’s revenue was $5.6 billion compared to $5.4 billion in 2013. Our gross profit rate for the quarter was 16.3%, down 40 basis points from the same period last year, but up 20 basis points over the third quarter. Fourth quarter adjusted expenses were up 4% year-over-year in constant currency and up 6% for the full year in line with the expectations we shared early in 2014 and on track with our investment – our planned investments. Our expenses for the quarter were favorably impacted by a reduction in cost due to the early impact of our management simplification plan. We achieved an adjusted operating profit of $8.8 million in the fourth quarter, down compared to adjusted earnings of $9.9 million for the fourth quarter last year. Adjusted operating earnings totaled nearly $33.9 million for the full year compared to $56.6 million in 2013. Kelly’s fourth quarter earnings from continuing operations, excluding restructuring, were $0.54 per share compared to adjusted earnings of $0.45 per share for the same period last year. For the full year, adjusted earnings totaled $0.81 per share compared to $1.62 in 2013. Overall, our Q4 performance exceeded our expectations as the U.S. economy continued to improve and we began to see encouraging signs that our 2014 investments are taking hold. Now, let’s take a closer look at our performance in each of our business segments starting with the Americas. Revenue demand in the Americas continued to strengthen during the fourth quarter with combined staffing revenue for the region up 6% year-over-year compared to the 3% increase in Q3 and the 1% increase in Q2. Americas’ commercial staffing revenue led the way with 8% year-over-year growth for the fourth quarter doubling the growth rate we reported in Q3, while industrial was up 5% from a year ago, also an improvement from the 1% year-over-year growth we reported last quarter. Office clerical was up 3% from a year ago, a solid improvement and a turnaround from the 3% decline we reported last quarter. And finally, for commercial staffing new customer wins in Kelly Educational Staffing continued to fuel strong growth with revenue growth of more than 50% year-over-year in the quarter and record-setting revenue of more than $200 million for the full year. Turning to our Americas’ PT performance, overall PT revenue was down 1% from the prior year compared to the 1% improvement we reported in the last quarter. With the operational changes we implemented in 2014 we are now servicing large and local accounts through two different delivery models in the Americas. And it’s useful to look at our PT results through that lens since each model is in a different stage of transition. In our local accounts we are already starting to see traction from the investments we made in our PT business both in revenue and order demand. PT revenue in our local accounts was down 5% year-over-year in the fourth quarter, an improvement from the 8% reduction in Q3. In large accounts we have finished transitioning all of the targeted accounts into our centralized model and are now fine tuning our delivery system. Although our PT performance was impacted by large PT project completions in Q4, we saw order volumes increase in other large accounts and delivered positive PT revenue growth of 1% year-over-year in Q4. Looking more closely at our core PT specialties, our science business continue to be the strongest performer during the quarter with revenue up 4% year-over-year, slightly higher than the 3% growth we reported last quarter. Finance also showed nice improvement reporting the revenue increase of 3% compared to flat performance in Q3 and a 12% decline in Q2. As expected engineering revenue was flat year-over-year compared to the 4% growth we saw in Q3 primarily due to the impact of the completion and phasing of some large account customer projects as previously mentioned. Our IT business reported a revenue decline of 5% year-over-year for the quarter, an improvement over the 7% decline reported in the third quarter and 12% decline in Q2. Turning to the Americas’ overall performance, perm fee growth continue to be a bright note in Q4 and was up 10% year-over-year. Commercial fees were up 16% and PT fees were up 4% from a year ago. Americas gross profit rate was 14.8%, down 60 basis points from the prior year due to an increase in workers compensation and healthcare costs for our temporary workers. Q4 expenses were up 4% year-over-year as savings from the management simplification plan helped to offset some of our targeted investments in recruiting sales and technology. All told, Americas achieved earnings of $23 million for the fourth quarter. To sum up this segment, we are pleased with the commercial’s ongoing strong performance. We are encouraged by the performance and our new delivery models and we remain confident that we have a solid strategy for growth in the region. Let’s now turn to our staffing operations outside the Americas starting with EMEA. On a constant currency basis, revenue in EMEA was down 2% in the fourth quarter compared to last year with commercial down 2% and PT up 3% year-over-year. It’s worth noting that the quarter was negatively impacted by decline in foreign currency exchange rates across the region. In nominal currency revenue was down 11% year-over-year. Our EMEA performance in the fourth quarter continues to reflect overall weak economic conditions as well as ongoing instability in Russia as we continue to see incremental declines compared to previous quarters. We achieved a solid growth of 3% in Western Europe, well above market performance with Portugal up 29%, France up 9% and Germany up 3%. In Eastern Europe we are down year-over-year by 8% driven by Russia. Fee based income for the quarter was down 13% year-over-year with declines in both commercial and PT. EMEA’s GP rate for the fourth quarter was 15.7% compared to 16.2% for the same period last year. The overall GP decline is primarily attributable to the decrease in perm fees as well as unfavorable country and customer mix. Excluding restructuring, expenses decreased 2% compared to last year in constant currency. Netting it all out, EMEA reported a profit of $2.8 million for the fourth quarter that we expect market conditions in Europe to remain challenging for the foreseeable future. We are pleased with the performance delivered by our EMEA segment and we are confident that the adjustments we have made to our operating models over the past several years will continue to support our strategy in this region. Next, let’s turn to APAC. Revenue for the APAC region grew by 11% in constant currency year-over-year largely due to continued growth in temporary staffing volumes in Australia, Singapore and India. Fees declined by 3% for the quarter compared to the prior year. Our gross profit rate for the region was 14.8%, down 170 basis points compared to Q4 last year. The decline was due to lower perm fees and temp margin erosion as well as the non-recurrence of a positive one-time workers’ compensation adjustment last year. Our APAC region did a nice job of reducing expenses by 7% for the quarter, especially in headquarters costs which were down 12% for the quarter year-over-year on constant currency and we concluded the quarter with a profit of $2 million. Now, we will turn from our staffing results to the results for our outsourcing and consulting segment, OCG. As you may recall on our last earnings call, we said that we anticipated year-over-year fourth quarter OCG revenue growth in the low-teens and gross profit in the mid-teens and for the quarter revenue grew by 11% year-over-year and gross profit increased by 16%. Sequentially, revenue was up 10% and gross profit grew 18% compared to the third quarter. We had growth on all three of OCG’s key talent supply chain management practices, business process outsourcing, BPO; recruitment process outsourcing, RPO; and contingent workforce outsourcing, CWO. BPO revenue grew 23% for the quarter and gross profit increased by 25%. The year-over-year growth was due mainly to our contact center outsourcing business, KellyConnect, which had gross profit growth of 48%. As anticipated, this strong Q4 growth follows our third quarter investments in this business. We also experienced strong double-digit revenue and GP growth in BPO’s legal outsourcing and STEM businesses for the quarter. In our RPO practice, revenue increased 6% year-over-year for the quarter and gross profit grew 24% primarily due to growth in a few key accounts. In CWO, revenue increased 4% for the quarter and gross profit increased 6%. These overall CWO results reflect a decrease in our payroll process outsourcing business more than offset by strong program management fees where revenue grew 15% and gross profit grew 20% for the quarter. Overall, GP dollars were up in OCG as revenue grew and the gross profit rate increased to 25.6% in the fourth quarter, a 100 basis point improvement over last year. Expenses were up 13% year-over-year in OCG reflecting our overall growth as well as our ongoing investments in this business. As a result of the strong double-digit growth in both GP and earnings, OCG brought in a record-setting operating profit of $9.7 million for the fourth quarter, an increase of 29% over last year. The progress we are making in this segment is a key indicator of Kelly’s success in meeting the growing demand for holistic workforce solutions and we are pleased to continue making the necessary investments to support future revenue and GP growth on OCG. Now, I will turn the call over to Patricia, who will cover our quarterly results for the entire company.
Patricia Little: Thank you, Carl. Revenue totaled $1.4 billion, up 6% in constant currency compared to the fourth quarter last year, that’s up 3% in nominal currency with the difference caused by weakening European and Asian currencies. Staffing placement fees were down 2% in constant currency year-over-year as we continue to experience declines in EMEA that more than offset the 10% growth we saw in the Americas. Our gross profit rate was 16.3%, down 40 basis points compared to the fourth quarter last year. In constant currency, overall GP was up $7.9 million, about 3%. Our 2014 full year GP rate was 16.3%, down 10 basis points from last year. During the quarter, we recorded $6.2 million in restructuring related to our management simplification plan, with $3.9 million in severance and $2.3 million in lease termination cost. Combined with the third quarter, we have recorded a total of $9.9 million for this plan in line with our initial expectations. We have executed this plan on schedule and our restructuring effort now brings additional efficiency to our operating models across the organization. In the Americas segment, we have streamlined our local U.S. field operations through the consolidation or closure of 52 branches simplified or centralized large account delivery structure and flattened our U.S. management structure. In OCG, we have aligned resources more efficiently against areas that deliver rapid growth in return on investment. And overall, we optimized our corporate headquarters operations. This management simplification plan has reduced our global workforce by over 100 permanent positions and in the fourth quarter we saw the first positive outcome with $2.3 million savings in SG&A. We also confirmed that the total result of the management simplification plan is to reduce our future expense growth by $35 million of SG&A. This will allow the top line growth we have invested against to drop more efficiently to the bottom line. Excluding restructuring charges, expenses were up 4% year-over-year in constant currency. The increase is due to a number of factors, including higher cost due to salary increases as well as additional headcount related to investments in PT business development reps and recruiters, OCG and centralized operations. These expenses were partially offset by initial savings generated by our management simplification plan. Excluding restructuring costs, earnings from operations were $8.8 million in the fourth quarter compared with 2013 adjusted earnings of $9.9 million. Income tax benefit for the fourth quarter was $15.5 million compared to $8.2 million in 2013. The increase was driven by the retroactive reinstatement of U.S. work opportunity credits in December. Excluding restructuring charges, diluted earnings per share for the fourth quarter of 2014 totaled $0.54 per share compared to $0.45 in 2013. Looking ahead to 2015, for the full year, we expect constant currency revenue to be up 6% to 8%. Clearly, currency and the overseas economies are a headwind and could trim about 3% of that top line. We expect the gross profit rate to be relatively flat and we expect SG&A to be up 4% to 5% due to merit increases, investments in OCG and PT partially offset by the full year savings related to our management simplification plan. Discussions with our customers regarding the costs associated with implementation in compliance with the Affordable Care Act have gone well. And at this point in time, we do not expect to see a reduction to our margins as a result of our compliance with this legislation. Our 2015 annual income tax rate is expected to be in the low 20% range, including work opportunity credits. As you maybe aware, work opportunity credits expired again at the end of 2014, which puts us in the same situation we were in last year. And at this point, we don’t know if or when they will be renewed. If they are not renewed, our tax rate is expected to be 20 percentage points higher. And this also assumes that we don’t receive any benefit on our tax free investments in company-owned life insurance policies. For the first quarter, we expect constant currency revenue to be up 6% to 7% on a year-over-year basis with nominal currency to be lower than that. We expect our gross profit rate to be slightly down on a year-over-year basis and flat on a sequential basis. And we expect expenses to be up 3% to 4% on a year-over-year basis, so about half of our revenue growth as we see the full impact of our management simplification plan. Turning to the balance sheet, I will make a few comments. Cash totaled $83 million compared to $126 million at year end 2013. A portion of the decrease about $20 million was due to payments we received very late in our fiscal 2013, most of which were paid to suppliers in the first few days of fiscal 2014. Accounts receivable totaled $1.1 billion and increased $100 million compared to year end 2013. For the quarter, our global DSO was 54 days, up 2 days compared the last year, but down 4 days versus the third quarter. The increase is largely due to the timing of our month end cut-off as well as extended terms and invoicing complexities for certain large customers. Accounts payable and accrued payroll and related taxes totaled $673 million, up $35 million compared to year end 2013. At the end of the four quarter, debt stood at $92 million, up $64 million from year end 2013. Debt-to-total capital was 10%, up from 3% at year end 2013. In our cash flow, we used $70 million of net cash for operating activities compared to $115 million generated from operating activities last year. This change is due mainly to revenue growth. Again about $20 million was related to the payments, which crossed over last year end. I will turn it back over to Carl for his concluding thoughts.
Carl Camden: Thank you, Patricia. There is no doubt that 2014 was the fast paced year of change at Kelly. And I am very pleased with our fourth quarter performance and full year results. The teams did well throughout a year of significant transition. We ended the year with a clear plan to adjust our go-to-market strategy and we made aggressive investments to better align our operating models. In particular, we adjusted our approach to recruiting PT talent, strengthen the span and depth of OCG practices, and finish moving our targeted large accounts into a centralized service delivery model. There were significant investments and notable changes. So, let me put some additional color around our progress and outlook. In the Americas, we adjusted our operating models to reflect key differences between selling into and recruiting for and servicing large versus local accounts. The scale, scope and complexity of these accounts varies greatly and our new models ensure that we have the right resources and deployment strategies for each market segment. In our local accounts, we created a centrally managed PT recruiter model that aligns our recruiters by niche, enabling them to build deeper, more highly specialized talent pipelines. This approach coupled with the addition of specialized business development resources enables us to sell and fill higher margin HPT business. To sharpen our focus, we closed more than 50 U.S. branches and are concentrating our efforts where they are most likely to yield the highest return. With these transitions complete, we are pleased with the trends we are seeing in our local PT business. And we expect local PT growth to accelerate in early 2015. In our large accounts, we have finished moving our targeted accounts into a centralized model and are focusing our sales and recruiting teams more clearly on growing PT specialties within our large customer base. The increase in order volume we are seeing in large accounts, gives us confidence and our long-term PT goal as we fine tune this delivery model over the course of 2015. Looking at OCG’s progress over the past year, we continued our investments to capture ongoing growth opportunities in this fast moving market. Companies continue to seek more holistic solutions we are acquiring and managing their contingent and full-time workforce around the globe and we are meeting that need through our talent supply chain management approach. In 2014, we finished building out several key components of this approach and better aligned OCG’s resources against our strategy focusing on those areas that deliver the most optimal return on investment. Looking ahead, we expect OCG revenue and gross profit growth in the 15% to 20% range in 2015, as we continue to invest in this rapidly growing segment. As a whole with a year of aggressive investment behind us, Kelly has emerged a more efficient, better aligned organization, ready to deliver solid growth in 2015 and beyond, solid trends support our optimism. Given the sustained economic progress in the U.S. and positive projections from recent jobs reports, we believe the demand for skilled workers will increase, that our staffing business will continue to deliver improved results and that we will be able to capitalize on stronger market conditions in the year ahead in both staffing and OCG. Most importantly for Kelly, we remain confident in our strategy and thankful to Kelly’s teams around the world who commit to delivering the best workforce solutions everyday. I am pleased that my voice lasted, and now Patricia and I will now be happy to answer your questions. John, the call can now be opened.
Operator: [Operator Instructions] And first we will go to Tobey Sommer with SunTrust. Please go ahead.
Carl Camden: Hi, Tobey.
Tobey Sommer: Hi, good morning. Carl, if you want to defer the questions to having someone else speak, I will understand.
Carl Camden: That’s why George is here, he can answer them all.
Tobey Sommer: Yes. What is the frame if you could from a long-term perspective, what your goals are for the investment in PT, maybe as an expression of where you want the percentage of revenue to be, some sort of financial model impacts that you are targeting. And I understand it will be over time, it’s not a guidance thing for this year, but they will be helpful? Thanks.
Patricia Little: Okay. I will start with this and then maybe George can fill in. Now, what we really want to accomplish from the PT investments, frankly as well as the OCG investments is to have a more balanced model. Clearly, we have an enormous strength in our model for commercial and we are proud of that and that’s our fortress and we will continue to view that as a prime important. What we want to do is balance that with the equivalent strength in PT and then an equivalent strength in OCG to present more solutions based set of services to our large customers. And I will let George weigh in as well.
George Corona: Tobey, when you look at it, what we are really trying to accomplish is, we look at the market and the market is transforming on us rapidly especially the PT market. So, what we have sort to do in order to get what Patricia said which is a more balanced portfolio we have to go at the market differently. So we bifurcated our system between delivering to our large customers, which have different needs to the local markets. And we are aligning our PT resources to be far more niche oriented. In the past, we were, give us all your orders, we will see what we can do. Now, we are looking at where the opportunities really exist or niche specialties and aligning both our sales resources and our recruiting candidate pipelines to align against that. So, in order to get to the more balanced portfolio, you have to go at the market differently and in 2014 it was all about realigning ourselves to be able to do that.
Tobey Sommer: Right. And can you translate that realignment to a financial implication for the P&L?
Patricia Little: Just as the more balanced operating earnings that come from the PT to have it approach the impact that we have from commercial.
Tobey Sommer: Okay, so sort of at the operating line or something like that?
Patricia Little: Yes.
Tobey Sommer: Okay. In RPO within OCG, I was a little surprised that it didn’t grow faster. I was wondering if you could comment about what new sales and new customer potential sales look like and maybe if existing clients are hitting their hiring targets or maybe not quite doing that? Thank you.
Carl Camden: Yes. So, when you look at it and look at in the pieces that you brought up, clearly, answering your question about it didn’t grow as fast as what you expected to, we have a few large clients whose needs were down for the quarter, some of them driven by market conditions. So, oil and gas related companies hiring less. And when you look at those, they drove the growth rate down. But, when we look at the overall health of the funnel within the business, that’s overall up and we expect as the economy continues to improve, there will be more full-time hiring. So, we are pretty bullish about that.
Tobey Sommer: And then just ask a question about what you are hearing from the larger customers with the currency changes etcetera. Is – are U.S. customers raining in at all their ambitions over the last 2 or 3 months in which the currency changes have been precipitous?
George Corona: Less over currencies, somewhat more over the instability, which I separate they coincide in some countries. But questions about how much do you continue to invest in Eastern Europe and the Russia zone and so long where you have instability accompanied by a result of currency, but not very many customers talking specifically about currency changing significantly their strategy. We watch oil and gas because we do particularly well in oil and gas. And there is not so much of currency issue but just watching shifts in demand and production around the world and what that does.
Tobey Sommer: Okay. Thank you very much. I will get back in the queue.
Carl Camden: Great. Thanks Tobey.
Operator: And next we will go to John Healy with Northcoast Research. Please go ahead.
John Healy: Thank you. Carl, I want to ask or you can defer to George as well about the oil and gas exposure you said you do well there, I remember years ago you announced a big OCG relationship with BP. And we are just trying to understand the exposure the company has and what you have seen maybe in the last 6 to 8 weeks that signify any sort of our rate of change or any sort of deviation from what you have seen much of 2014?
Carl Camden: We certainly have seen when we talk to our customers in that space the ones that are heavily dependent on the upstream piece of the marketplace or the price of oil. They are becoming much more cautious about their hiring plans, but we don’t have them coming out and saying we are dumping lost of workers yet. We also have a good amount of our business in the oil and gas – in the downstream areas where lower price of oil actually helps them. So they are going to help to offset a bit of the companies that are in the upstream part of the business. So right now cautioned, but not panic.
John Healy: Is there a way to quantify kind of the company’s exposure to either upstream or downstream and if it’s…?
Carl Camden: Yes, on that, no.
John Healy: Okay. Is it a material size, maybe if I ask that way?
Patricia Little: Well, one way to think about it is yes, natural resources overall are one of our largest segment. But I think you can look at our performance in engineering which is frankly what we supply most into. And you can see that we did really well in engineering this quarter. So again we are not seeing – I would say that the upstream and the downstream are balancing out and not creating either much of a – as much a headwind there is in some cases a tailwind.
John Healy: Okay, great. And Patricia I wanted to ask your comments on the forecast for the SG&A growth.
Patricia Little: Yes.
John Healy: I think it was 4% to 5% for 2015 can you help us understand what number that’s off, is that off an adjusted SG&A number is that off the GAAP number and is that 4% to 5% booked for the benefit of the $35 million in savings or is that post the benefit?
Patricia Little: Alright, so it’s versus 2014 excluding restructuring.
John Healy: Okay.
Patricia Little: And it includes the benefit of the $35 million management simplification plan. And it’s also worth noting that it’s at constant currency. So to the extent that I mentioned the currency is a headwind on our revenue line obviously would also reduce that impact on an SG&A line.
John Healy: Okay, that makes a lot of sense. And then I wanted to ask as you think about the 52 branches in the U.S. I remember years ago you guys did pretty large branch recalibration in Europe do you see more of that, is that done or where do we stand as it relates to that opportunity?
Carl Camden: Well, when you look at John – excuse me I got something in my throat but…
John Healy: Contagious over there.
Carl Camden: We are well here. And we will always look to fine tune our branch network. So we don’t have anything out there right now that says let’s go do another batch of 50. But over time especially as it relates to professional and technical you need to be – you don’t have to be as present with brick-and-mortar to be able to reach the candidate community and be able to put them to work. So we will look for opportunities that will make us more efficient in our deployment of brick-and-mortar branches. But we will still be able to address the same market space. So we look for refinement there. Sorry.
John Healy: No worries. Thank you guys and feel better.
Carl Camden: Okay.
Operator: [Operator Instructions] And we will go back to Tobey Sommer. Please go ahead.
Tobey Sommer: Thank you. Just one follow-up about your revenue guidance.
Patricia Little: Yes.
Tobey Sommer: Are there any adjustments to the comparison since you give us a growth rate and not a dollar figure, anything that we need to know about what we are adding the growth to?
Patricia Little: No, I think it’s a pretty straight up number of 2014 comparison. Again, we did give you the number in constant currency, because with the way it’s been fluctuating, I mean, everyday I could do a new number on it and it would change. So, right now that currency piece will be worth about 3 points, so what’s worth tomorrow, I wish I could tell you, but I can’t. So, there is nothing, there is no big adjustments in the way the revenue is structured that would make that anything, but a straight up comparison with this big caveat around currency.
Tobey Sommer: Okay. And then kind of two add-ons to the two – my questions here, do you – how, Carl, you mentioned that yes, some customers are a little bit more cautious probably about some economies being a little bit less stable, not necessarily the currency. So, how do you feel about confidence extending a top line guidance goal for a full year given at least some increased caution from customers?
Carl Camden: I will start this and let – and then let Patricia correct me. We are – we have a huge proportion of our business in the United States. We have a pretty clear picture of what’s happening inside the U.S. economy. You are seeing – as I said in my comments, we are now seeing a steady stream of nice job growth. You have got pretty good models out there as to what’s taking place in the U.S. And then on the OCG business, another big source of growth, you have an adoption curve which has favored continued growth on that regardless of what’s taking place as more companies adopt that as a talent supply chain kind of management structure. Would I have less confidence and as I would look out at Europe and parts of Asia? Sure, but they are also the very smallest parts of our business.
Patricia Little: The only thing I will add to that is to the extent that are U.S. based, which is largely U.S. headquartered companies in our large customers that experience uncertainty, one of the first places they turn to manage uncertainty is to their labor structure and overall that can favor us.
Tobey Sommer: Okay. And then is it possible to isolate the expectation you have for growth this year based on the local initiative in professional and technical, so for example, how much to growth would you expect that to contribute?
Patricia Little: I will talk to that. So, we expect both the investments that we have made in large and local, which as George and Carl explained are different types of investments to bear fruit, especially in the PT side of the business. They are going to happen at different stages in the year. We are earlier on our local transformation and we expect it to deliver good results. In fact, we are already seeing traction in the fourth quarter for that. So, we expect that earlier in local. It’s also the smaller piece though. Large, again, we are seeing some good orders on that side, so very strong order generation and we expect that to be a little bit later in the year in about the second half mid year.
Tobey Sommer: And I will speak one last one and then I am done.
Patricia Little: Okay.
Tobey Sommer: In the RPO business, do you expect that growth to reaccelerate in this year?
Carl Camden: So, when you look at that, we have to take a look at the size of the large clients that we have, right. And we do expect from what our visibility is to them that they are going to tend to be a little bit lower this year. Our new funnel, obviously, we have a lot of confidence in that, but it takes time to implement them. So, I think you would expect to see what you saw in the last quarter going forward for the next couple of quarters until we get new wins implemented.
Tobey Sommer: Okay, thanks for your help.
Operator: And we have no further questions in queue.
George Corona: Great, thank you John.
Carl Camden: Thank you.